Operator: Greetings and welcome to the Leidos Fourth Quarter 2016 Earnings Results. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Kelly P. Hernandez, Senior Vice President of Investor Relations. Please go ahead, Ms. Hernandez.
Kelly P. Hernandez - Leidos Holdings, Inc.: Thank you, Rob, and good morning, everyone. I'd like to welcome you to our fourth quarter and full-year 2016 earnings conference call. Joining me today are Roger Krone, our Chairman and CEO; and Jim Reagan, our Chief Financial Officer; and other members of the Leidos management team. Today, we will discuss our results for the quarter ending December 30, 2016. Roger Krone will lead off the call with comments on the market environment and our company strategy. Jim will follow with a discussion of our financial performance and our expectations for the future. After these remarks from Roger and Jim, we'll open the call for your questions. Today's discussion contains forward-looking statements based on the environment as we currently see it and, as such, does include risks and uncertainties. Please refer to our press release for more information on the specific risk factors that could cause actual results to differ materially. Finally, during the call, we will discuss GAAP and non-GAAP financial measures. A reconciliation between the two is included in the press release that we issued this morning, and is also available in the presentation slides. The press release and presentation, as well as the supplementary financial information file are provided on the Investor Relations section of our website at ir.leidos.com. With that, I'll turn the call over to Roger Krone.
Roger A. Krone - Leidos Holdings, Inc.: Thank you, Kelly, and thank you all for joining us this morning for our fourth quarter and fiscal year 2016 earnings conference call. 2016 was a transformative year for Leidos and I'm pleased with our successes in the year and the path that we are on for the future. Financially, we grew revenue 38% from the prior year, reflecting the revenue contribution of the IS&GS acquisition. We improved adjusted EBITDA margin by 60 basis points and non-GAAP diluted EPS by 19% versus the prior year. We exited the year with $18 billion in backlog, nearly 2 times our annual revenue. We generated $446 million of cash from operations in the year or 1.8 times our net income. We also distributed $1.1 billion in dividends to our shareholders and accelerated repayments of $275 million of our acquisition-related debt during the year. These successes and the strength of our business give us confidence to raise our prior guidance levels for revenue, margin and earnings for 2017, which Jim will detail later. Operationally, we accomplished a lot during the year. We completed the acquisition of the IS&GS business from Lockheed Martin and made significant progress towards integration. We also completed the divestiture of our heavy construction engineering business, which was dilutive to our margins and not part of our go-forward strategy. We remain focused on performing well on our programs for our customers, enabling a substantial level of award fees in the year. On our high visibility programs, DHMSM and LCST, we continued to perform well and engaged closely with our customers as we further the progress on these long-duration programs. Just recently, we reached an important milestone on the DHMSM program as we stood up operation of the new MHS Genesis system in the first initial operation capability, or IOC, site in the DoD network. The go-live date on this was February 7 at Fairchild Air Force Base. Our team performed well on this milestone and the feedback from the customer has been very positive. The remaining IOC sites are on track to go live in the spring to summer timeframe. We have also fully integrated the IS&GS and Leidos people, enabling a collaborative culture which we expect will generate positive dividends, particularly our business development efforts. Expanding on this a bit, we have been very focused on driving the benefits from this transaction through our business development process. We have revamped our business development initiatives to bring a more disciplined approach to each capture, focused on improving three key metrics: the size of our qualified pipeline of new business; win rates on proposals, particularly for new work; and the efficiency of our bid and proposal spending. In the five months since we closed the transaction, we have already completed integration of the BD staff to enable the synergies from the transaction to be leveraged in all bids going into customers. We have focused heavily on investing in our people through training; modernizing their workplace, our proposal development centers; and establishing executive level career tracks for our capture leads. We have also invested in our tools to improve efficiency, collaboration and the effectiveness of our pursuits. While the results of these efforts will take some time to work through the pipeline, we are encouraged with some early signs. We are working on some significant opportunities that neither legacy Leidos nor legacy IS&GS would have bid independently in the past that overtime can contribute to our stated revenue synergy targets. These opportunities are at various stages of maturity across multiple markets and I'll just highlight a few. As we discussed at our Investor Day in August, IS&GS brought over some very strong qualifications within the enterprise network transformation domain. We are looking at a significant opportunity with an armed service customer that we see as a potential future franchise for us. Neither one of our legacy companies would have bid this job for various reasons: cost structure, customer intimacy, past performance qualifications. However, when we looked at this one, it really did come together like two pieces of a puzzle and the acquisition has enabled us to put together a truly compelling bid. Within the civil domain, we are pursuing a large enterprise network protection opportunity which, prior to the merger, would probably not have been a prime bid for us. On this capture we were able to look across our new joint portfolio and identify some key internal R&D investments that we believe fill a critical customer need while also creating a differentiator for our proposed solution. One final effort I'd like to highlight, we have a biometrics proposal and evaluation for one of our armed service customers. As a result of the acquisition and the biometrics capabilities that came over with the deal, we were able to significantly improve our competitive position through the technical innovations and past performance on (07:54) contracts. These are just a few of the examples and, in each case, we are optimistic that the new Leidos is better positioned to compete and could contribute to our revenue synergy targets. Subsequent to the close of the year, we also cleared protest gates on two important program wins. The first of these is the FAA program where we improve airport terminal and runway efficiency through the development and deployment of our terminal flight data manager system. The second is the Department of Homeland Security's next-generation enterprise security operation service center contract where we will upgrade the Department's ability to protect its enterprise-wide networks against cyber intruders. Both of these will contribute to revenue in the current year. We are optimistic that we will have more such successes in the future as we leverage our initiatives in cost structure and business development to drive a book-to-bill above one for 2017. In terms of the macro conditions, while an improving budget picture is certainly positive, the appropriations process will take some time to play out. And we believe it is likely to be more impactful to our industry from a revenue perspective in 2018 rather than 2017. For now, the government is operating under continuing resolution through April 28, and there is a fair amount of uncertainty surrounding the possibilities after that date. We are taking a cautious approach with regards to the macro environment until these uncertainties resolve. That said, we are focused on that which is within our control, including our initiatives to improve our cost structure and deliver cost synergies from the transaction. In 2016, we achieved our cost synergy targets of over $200 million analyzed cost synergies exiting the year and are progressing well against our 2017 goals. Jim will expand on this shortly. Additionally, last month, we further streamlined our organization, consolidating down to four business units from five as we distributed our defense business among intelligence and civil segments. This streamlined organization puts us in a better position to extract synergies and enable agility and collaboration as we hope support our customers' missions. We remain focused on delivering value-added solutions to our customers, ensuring a great place to work for our employees, and maximizing the return for our shareholders. With that, let me hand the call over to Jim Reagan, Leidos' Chief Financial Officer, for more details on the quarter and our outlook.
James C. Reagan - Leidos Holdings, Inc.: Thank you, Roger, and thanks to all of you for joining us on today's call. Roger provided the highlights of our full-year detail, so I will focus my remarks on our fourth quarter performance and on our outlook. We had positive developments on many fronts in the fourth quarter with higher revenue, margins, cash flow and bookings as compared to the prior year period. As Roger indicated, we met our cost synergy target for the year and this was a great quarter by many measures, even more so during a period of such transition for the organization. Consolidated revenues were $2.6 billion for the fourth quarter compared to $1.3 billion in the prior year period. This represented an organic growth rate of 4.5% when adjusting for the acquisition of IS&GS and the divestiture of our heavy construction business. Adjusted EBITDA margin in the quarter was 9.5%, an improvement of 50 basis points from the prior year's level. This improvement was driven by cost reductions already embedded in our business plus strong results in our core operations within our NSS and HIS sectors which I'll touch on further momentarily. Our non-GAAP effective tax rate in the quarter of 40% was three points higher than our expectations due to yearend true ups. For the full year our non-GAAP tax rate was 27%, lower than our normal effective rate in large part due to the tax treatment of the special dividend. Non-GAAP diluted EPS from continuing operations, as detailed on slide 15 of the investor presentation, was $0.75 per share on a basis of 153 million shares outstanding in the fourth quarter. Note that the share count in the quarter and for the full year was 1 million higher than our prior expectations, reflecting the greater dilutive impact of our outstanding options due to our higher share price. The combination of the higher tax rate and the higher share count reduced our fourth quarter non-GAAP diluted EPS by $0.04. Our non-GAAP diluted earnings per share primarily excludes the impact of $54 million of amortization charges and $22 million of acquisition and integration costs. Operating cash flow from continuing operations of $162 million was a highlight in the quarter. Our focus on collections drove a nice decrease in the DSO level exiting the quarter to 58 days, reflecting a seven-day decline for the year. As we have suggested in the past, the process of novating contracts from IS&GS over to Leidos is a critical activity relative to collections. And while our team has delivered a great fourth quarter, we're still a couple of quarters away from our contracts being fully novated, so we continue to manage this very closely to minimize any potential impact to our cash flow. Overall, for the year, cash flow from operations of $446 million reflects significant focus and great accomplishments by our team. Note that this also reflects $90 million in acquisition and integration expenses. Our strong performance here enabled us to pay down an additional $175 million of our acquisition debt in Q4, in addition to the $100 million we paid down in Q3. These post-close reductions bring our leverage ratio down to 3.5% from our post-close level of about 3.8% in mid August. As we indicated in a press release a few weeks ago, we were able to go back to the markets and secure better pricing on our $1.1 billion Term Loan B due to our performance post-close as well as favorable market conditions. In addition, we anticipate that our Term Loan A pricing rates will also go down subject to the pricing grid incorporated in those agreements. This is expected to take effect once we file our quarterly financial compliance at the end of this month. In combination, these two modifications will drive a 25-basis point reduction in our blended interest rate to 4.04%, saving about $8 million in interest expense annually. Our overall debt portfolio is now 47% floating and 53% fixed. Our expected reductions to debt resulting from operating cash flow in the coming year will further reduce our exposure to floating rate debt. We closed the year by capturing over $200 million in annualized gross cost synergies. We took significant actions in workforce, process and real estate to drive approximately $90 million of these total cost synergies to complement the savings from the elimination of corporate overhead burdens from the Lockheed cost structure. As we are already nearly two months into 2017, we are well on our way to executing on our plans to achieve our target of $296 million in gross cost synergies by the end of 2017. Many of this year's savings will be driven by systems migrations, which are dispersed throughout the year primarily related to our human capital management systems and our IT backbone for the IS&GS business, which will be pulled away from Lockheed at the end of the year. The cost synergy targets which we discussed at our Analyst Day in August are still reasonable and very much achievable in the same timeframe, which we originally estimated. That estimate remains a total gross level of $471 million which includes $121 million of day one savings and $350 million of additional cost synergies which we are now driving through our integration process. This lower cost structure is already being leveraged in our business development initiatives and can have an impact on win rates as early as this quarter. With that, shifting to business development results, we experienced a typical seasonal quarter on consolidated net bookings which totaled $1.84 billion in the fourth quarter for a book to bill ratio of 0.7. For the year consolidated net bookings were $6.95 billion, resulting in a book to bill ratio of 1.0. As we've noted before, bookings and backlog do not include the effect of either single or multiple-award IDIQs until task orders are awarded under those by our customers. The value of bids outstanding at the end of the fourth quarter was $28 billion, up slightly from Q3 levels. Now let me spend a moment on sector results for Q4. First, in our national security sector, revenues of $876 million increased 3% year-over-year primarily due to revenues associated with our international business and increases in fees resulting from the achievement of milestones on certain contracts. Operating margins in our national security sector were 7.8%, roughly in line with the prior year's level as higher fees from certain contracts were offset by lower scope and some completion of others. In our Health and Infrastructure Sector, revenues were $348 million in Q4 compared to $432 million in the prior year period. When adjusting the prior period lower by $110 million to exclude the revenues from our heavy construction business which we divested this year, revenue growth in the sector was 8%. This organic revenue growth primarily reflects increased sales in our federal health business. Non-GAAP operating margins for the Health and Infrastructure Sector grew approximately 240 basis points to 13.5% from the prior year period. A robust level of security product shipments contributed to this quarter's margin strength while the divestiture of the heavy construction business was the key contributor to the year-over-year improvement. Now moving to our IS&GS sector. Revenues in IS&GS were $1.4 billion in the fourth quarter with non-GAAP operating margins of 10.4%. Non-GAAP operating margins exclude the impact of $53 million of amortization of intangibles from the transaction. The focus on program execution that the IS&GS team has maintained throughout the transition into Leidos has been remarkable. The team's constant focus on the customer's mission and their cooperation and collaboration during the integration process reinforces the promise we see in the transaction and in our combination. Looking ahead, we start the new year with a healthy cash balance of $376 million. We have historically held a disciplined capital management philosophy, which balances a number of options to include regular and special dividends, organic growth investments and M&A, as well as debt pay down and share repurchase. Given the strong level of cash flow from operations, our improved debt pricing, and the higher than level expected of debt paydown at this point post-close, we are once again returning to a position of more flexibility in our capital deployment options. We remain committed to paying our regular quarterly dividend and, beyond that, we review with our board options for the deployment of excess cash including special dividends, organic growth investments, M&A, as well debt paydown and share repurchase. This provides us with the flexibility to take advantage of market conditions to lower our cost of capital while also driving increased value for our shareholders and an improved competitive position for the company long term. As Roger indicated, we are still taking a cautious approach from a macro perspective relative to the outlays in effect in 2017. However, the strong results we delivered in 2016, combined with our performance as a combined entity post-close, give us confidence in raising our expectations for 2017 relative to the targets that we previewed with you at our August 2016 investor conference. For 2017, we expect revenue in the range of $10.0 billion to $10.4 billion, up from our prior range of $9.8 billion to $10.2 billion. We expect EBITDA margin in the range of 9.5% to 10%, up from the prior range of 9.0% to 10.0%. And we are raising our expectation for non-GAAP earnings per share to a range of $3.05 to $3.35, up from $2.90 to $3.20. For cash flow from operations, we are reiterating our prior target for the year of at or above $475 million. Please note that our cash flow from operations guidance includes the impact of $75 million from cash needed to fund our integration initiatives, meaning that our true cash flow run rate for this business is at or above $550 million for the year. For your modeling purposes, we would suggest a share count of 154 million fully diluted shares outstanding and an effective tax rate of 37%. We expect interest expense of approximately $145 million for the year, reflecting today's LIBOR rates and the improved spreads that we secured in our recent debt restructuring. Assuming our current fixed floating mix, every 10 basis point increase in the LIBOR rate would have an approximate $1 million impact to our annual interest expense. In conclusion, I'm pleased with our performance in the quarter and for the full year and I'm encouraged that through the actions that we're taking on our cost structure and our customer offerings, Leidos will have an unmatched position in the market. So with that, Rob, let's open it up, so that we can take some questions.
Operator: Thank you. And our first question comes from the line of Cai von Rumohr with Cowen & Company. Please proceed with your question.
Cai von Rumohr - Cowen & Co. LLC: Yes, thank you very much and good quarter. Roger, you talked about we might see in the first quarter some benefit of your joint bids and you also have these two protested awards that will basically come in in the quarter. Could you give us, A, how big are those awards in terms of what they might add to the year and their size; and secondly, give us some more color on what sorts of bids we might see from kind of joint bidding opportunities in the first quarter?
Roger A. Krone - Leidos Holdings, Inc.: Okay. Yes, I probably can talk a little bit about that. The two bids were both in the hundreds of millions and I have to look – I think together they may be $500 million total. But that's over a period of performance, probably has an impact of like $30 million or so. But, Cai, rather than being specific on some of the joint bids and how it phases into the pipeline, I would just tell you, we were at 1.0 in 2016 and I think our trend will be healthily north of that because of the synergy and some of the work that's coming together. And the other point I would like to make is, although we have a whole pipeline or whole series of campaigns, and I could – we actually have a model where we go through specific campaigns, I really don't like to talk about those per se because of the competitive nature of what we're bidding on and when we decide to go forward with a bid and when not. But what I'm simply trying to do in my comments is to point to real tangible programs that we will now bid that we would not have bid as the old Leidos. And in talking with Gerry Fasano on our BD team, it's not clear that IS&GS would have bid those as the old Lockheed either. I don't know if that helps a lot.
Cai von Rumohr - Cowen & Co. LLC: Yes, that helps. So really what I'm getting at is a recent conference, a number of companies said we might see a slower beginning to the year because of the administration transition with kind of limits on head count at the Pentagon, some limits on EPA, but a pickup later in the year as a result of incremental O&M spending for readiness. Could you give us some color – how do you see the pattern of the year of kind of bookings, just general sense?
Roger A. Krone - Leidos Holdings, Inc.: Look, Cai, I clearly understand why people have that view. I think it may be different depending upon where you are in the bid cycle. There is a lot of awards that we expect to happen in the first quarter, things that have gotten sort of delayed from last year, and this bid process is multi-year and the things that are getting awarded now were put in place 12, 18 months ago. And we don't see the change in the administration or the lack of confirmed acquisition execs in the Pentagon for instance, actually slowing down the process. And in fact, if I read General Mattis' comments correctly, I think he wants to spend more money in what we call shorter-term dollars to help things like readiness, O&M and what have you. And that might actually lead to on-contract growth for some existing programs if you already have a contract that supports the fielded equipment. And so, I would tell you that, yeah, we're always cyclical and with fourth quarter always being our worst, but we have not seen that drawdown or slowdown of awards. And frankly, there are a couple other bids that are in protest. We expect those to get cleaned up as well. So we're looking towards what we think will be a strong first and second quarter and then, of course, third quarter is always our strongest, Cai.
Cai von Rumohr - Cowen & Co. LLC: Excellent. Thank you very much.
Operator: Our next question comes from the line of Jon Raviv with Citigroup. Please proceed with your question.
Jonathan Raviv - Citigroup Global Markets, Inc.: Hey, good morning. Jim, thanks for providing the color on the cash flow this year. But could you just add a couple more specifics in terms of how much of this year's outperformance do you feel came from working capital timing versus perhaps accelerated integration benefit? And what does that say about the building blocks heading into 2017?
James C. Reagan - Leidos Holdings, Inc.: Jon, I don't know that we want to get – because there are so many moving parts on the margin picture, I don't know if it is helpful to get into specifics kind of dissecting that. What I would tell you though is that the bulk of the over-performance on cash came from a couple things. One, continued really hard driving from both the legacy IS&GS team as well as the Leidos team in getting bills done faster and riding herd on collections. The second piece was we're operating under a TSA with Lockheed for part of the billing and collection activity until we cut it over to our systems. And I have to give a little bit of credit to a lot of cooperation we have had from Lockheed under the TSA to help us drive even faster collections than they were experiencing before. So those two things combined have helped us to drop our DSO by seven days. And we're working hard to make sure that that sticks.
Jonathan Raviv - Citigroup Global Markets, Inc.: Are you still thinking about a two to three-day working capital cushion due to those novation items going forward?
James C. Reagan - Leidos Holdings, Inc.: Yeah. That's how we're modeling it. If we can get novations done faster and get kind of what we have modeled as kind of a temporary blip upward on DSO, if we can get that behind us, obviously, that gives us an opportunity for upside on our cash flow number that we've given you.
Jonathan Raviv - Citigroup Global Markets, Inc.: Great. Thank you..
James C. Reagan - Leidos Holdings, Inc.: Thank you.
Operator: Our next question is coming from the line of Robert Spingarn with Credit Suisse. Please proceed with your question.
Robert M. Spingarn - Credit Suisse: Hi. Good morning.
Roger A. Krone - Leidos Holdings, Inc.: Hey, good morning, Rob.
Robert M. Spingarn - Credit Suisse: So, I wanted to talk about some of these margins, both looking backward and forward. In HIS, even when you account for the divestiture of the heavy construction business you still had a nice sequential bump up in the quarter. And I think you spoke to that as being somewhat product or mix specific. But I wanted to think about what a normalized margin for both – for that segment and the others are going forward, maybe how you've contemplated them in the 2017 guidance on a segment basis. And then I have a separate question on the budget.
James C. Reagan - Leidos Holdings, Inc.: Yeah. So, I will take the margin question, Rob, and then I think Roger will speak to your next question on budget. As you know, we're trying to stay out of the habit of issuing sector guidance, but I can give you some color on what went on in the HIS Group. You're right. The fourth quarter saw some strong product sales that carry higher than – higher margins than the services business. But it wasn't just that. I think that for the full year, HIS not only enjoyed the margin that you see – the margin impact from the product shipments, but also we have a couple of legacy programs, large legacy programs in the Health Group that have seen a nice uptick in margins. And that just is grinding it out management of these key programs and getting better management and better profit out of them. So, I would give the health services team credit for that and give the security products guys the credit for delivering some nice shipments in Q4 to help our margin picture there.
Robert M. Spingarn - Credit Suisse: But are these close out level margins or is this 13% type level something we can count on going forward or is the mix really significant here?
James C. Reagan - Leidos Holdings, Inc.: I wouldn't say that you would want to count on mid-13%s as a sustainable quarter-to-quarter-to-quarter kind of margin in that business. But I also would not want to characterize them as these one – there is nothing about this is a one-time pick up because we've closed out a contract.
Robert M. Spingarn - Credit Suisse: I mean, because clearly this is a tale of two halves. You did 9% type numbers in H1 and then 13% in H2.
James C. Reagan - Leidos Holdings, Inc.: Yeah, and the uptick in margins on a couple of those programs that I was mentioning, those were also part of our second half story.
Robert M. Spingarn - Credit Suisse: Right. And obviously the construction business was there I guess for a good part of H1.
James C. Reagan - Leidos Holdings, Inc.: Yeah, that's right. And that was a drag on margin in the first half.
Robert M. Spingarn - Credit Suisse: Okay. And then any comment you'd like to make on the other two segments from a margin perspective going forward, at least relative to what we've been seeing?
James C. Reagan - Leidos Holdings, Inc.: What I would tell you is that we're pleased with what we see going forward in terms of the ability of our cost reductions to sustain some gradual margin increase. At the same time, is giving us more cash to invest in the important kinds of R&D and product development initiatives that we believe are key to our strategy in growing the business over the long haul.
Robert M. Spingarn - Credit Suisse: Okay, okay, thanks, Jim. And then, Roger, on the budget, I guess the guidance contemplates what we know and doesn't embed what we don't – the extras we might get under the new administration. There is talk of upping the OCO from, call it, $65 billion to closer to $95 billion for fiscal 2017. That money could flow somewhat quickly depending on when it happens. And I think there is a lot of readiness focus for that money. How could that benefit the services sector overall and then specifically Leidos on a relative basis?
Roger A. Krone - Leidos Holdings, Inc.: Well, Rob, first let me tell you that we are hearing the same thing, although it 's clear that the administration would like to buy more ships and airplanes and tanks. If they put an order in for a new ship, that ship will sail probably long after this administration leaves office. And so there is immediate focus on getting our emission capable rates up to where they should be. And we've heard that from the services chiefs and now from the new Secretary of Defense. The best way for them to do that, given where we are from a budget standpoint, is use the OCO accounts. And I think it does fall appropriately into this wartime readiness kind of a category. We've heard lots of numbers. The number you quoted seems to be at the higher end of the numbers that we've heard. The fastest way for them to do that is to apply those funds to contracts that already exist and to allow the people who are out supporting the warfighter to buy more parts, do more preventative maintenance, do more depo work. We have a variety of programs across all the services that support elements of their warfighting capability from programs frankly in the Mid East in-theatre all the way back to work that we do here in the continental U.S. We don't have a revenue model that says if OCO goes up by $30 million what does that mean to Leidos? I think certainly from your standpoint you ought to just say this is a further positive trend for companies like Leidos and others who primarily perform their business through people. And we are what I call a short dollar and quick spend. And I think the sector overall will do well. And then you tie that into what appears to be a hiring freeze that says in order for those dollars to actually equate to some kind of a mission capable rate, war fighting capability, the fastest way to get it spent is through the contractor community and we are part of that.
Robert M. Spingarn - Credit Suisse: Okay. And then just to frame it further, because I appreciate your answer. What I am getting at is the 2017 plus up, as you noted, is readiness based, it's going to be in OCO. The 2018 plus ups is going to be base budget, probably not through OCO. That's where I see the ships and the planes or at least most of them. So...
Roger A. Krone - Leidos Holdings, Inc.: Yeah. It would appear – let's see, this is a very long and complicated discussion probably not to completely have on this call just because of time, is what the administration will do, they will submit what we call the skinny budget, that will get on the record, then there will be a much more detailed budget. The President is going to have to balance all of his priorities, tax reform, repealing the Affordable Care Act and immigration. And this all gets tied up into tax reform and balance of trade, tariffs and things like that. There are just so many issues that the administration and therefore the Congress and the Senate are dealing with. As I said in my comments, it's still quite complicated and perhaps a little bit difficult to predict. If it was just the DoD alone we'd say, yeah, we're going to see the Budget Control Act repealed. We're going to see the base budget increase, more long dollars spent along with short dollars to increase readiness. But for now, I mean here, we're one month into the administration. I still think it is a little premature to start placing your bets.
Robert M. Spingarn - Credit Suisse: Okay, fair enough. Thank you.
Operator: Thank you. [Operating Instructions] The next question today is from the line of Amit Singh with Jefferies. Please go ahead with your question.
Amit Singh - Jefferies LLC: Hi, guys. Thank you for taking my question. Just wanted to get an update on integration. You said you have completed I guess all the integration of business development staff. So if you could provide a brief outline of what all is remaining. And if you could put some sort of a percent on how much percent of total integration is sort of behind you now.
Roger A. Krone - Leidos Holdings, Inc.: Let me give you a top level, then Jim can maybe come back to numbers overall. So, Amit, what we did on day one is we pulled the people together and we built virtual organizations, right? And we still have the existing legal structure because of the RMT and that will stay in place for at least another year. But for the purposes of trying to drive synergies and integrations we created a management chart where we had new organizations and new people. So we got that done. The functions, we co-located and merged the functions, but because a lot of the IT systems that support the functions are at the back end of integration, we have to operate in parallel. Although like we have one HR organization, we are on two HR platforms. So I think we got all the initial work done. Again, we tailored the organization a little bit more at the end of the year to take some more cost out. In 2017, we actually have a plan, a whole series of projects, and we actually do have what we call earned value management where you measure how we are doing. And think of it as we are sort of a third of the way through those set of projects for the year. And Jim will go to the specifics, but is the IT backbones that we run the company on. Primarily in 2017, we'll be addressing, I think Jim made some comments, our HR platform and our general ledger. And we will convert our HR platform by mid-summer and we will operate a parallel general ledger of Lockheed's in our data center by the fall. And then shortly after the first year we should move to one consolidating general ledger system. And that gets us the majority of the way through integration. Then we have to tick and tie in 2018 and there will be some more staff consolidation and we should be done by the end of 2018.
James C. Reagan - Leidos Holdings, Inc.: Yes, the only thing – I mean, Roger captured this all very well actually. And the only thing I think I could add is that a lot of the benefit we're looking for, Amit, in the integration is to get off of the transition services agreement, which will be accomplished by a lot of hard work from our IT teams to get off of the IT backbone. That will happen later this year. And early next year, we will be taking the legacy ERP systems that most of the IS&GS businesses run on. We'll be converting those over to the system that Leidos has been operating on for years. So, the one last piece that is going to be kind of an ongoing initiative that will go in for – run out for a couple years is the process of tightening up our real estate footprint. And that means aggressively moving out of properties that we see. You can look out of a window in a Leidos office and see another Leidos office down the road that used to be a Lockheed office or vice versa. And so, we're locating our teams in clusters as much as possible and as quickly as possible and getting out from under the cost of these leases. And so, by doing that and by changing the real estate footprint we're expecting to get a lot of value, but again that kicks in over time.
Amit Singh - Jefferies LLC: All right. Great. And then just on your 2017 revenue guidance, could you provide what sort of assumption do you have built in for the growth in IS&GS business and non-IS&GS business? And then also just related to beyond fiscal 2017, currently, your commentary was a little – about the end market was a little cautious for the near mid-term. So what is giving you confidence that you can drive sort of that above 1 book-to-bill this year considering variant CR right now and then that 3% plus – or 3% type of revenue growth beyond fiscal 2017?
James C. Reagan - Leidos Holdings, Inc.: Sure. Well, a lot of questions in that, and then I'll try to unpack it as best I can, Amit. As far as the distinction between kind of how the growth rate is falling out between the two parts of the business, that is – we have a number of scenarios that we use to build up our guidance. And that shakes out at IS&GS – our best estimate is that it hits an inflection point and begins year-over-year growth later this year. With the Leidos business, we had a lot of growth in the legacy Leidos business really from the health business, the defense health win that we had, as well as the project in the U.K. And now that those are operating at full tilt and we're starting to – we've moved beyond IOC on DHMSM and we're starting the roll out there, that flattens out a bit. In fact, that might have a slight dip this year before it starts growing again with more full roll out. On the program in the UK, we're about to deliver a large fulfillment center in the UK there and that has been a big area of growth in the National Security Sector. So that's why we think of the Leidos business having a bit of a flattening for this year. And then back to what we view is secular growth or growth consistent with kind of the secular trend of 3% or better in 2018 and beyond. But again, for this year the guidance that you see reflects that we've got the IS&GS business on a much better and much more competitive cost structure and we are expecting to see that show up in our win rates and in realizing better yield on the pipeline. And then we're going to have continued strong bookings on the Leidos side.
Roger A. Krone - Leidos Holdings, Inc.: Hey, Amit, if I could, just to add some color. The fact that we're going to be in a CR, and I think everyone understands this, is that our normal mode is operating in a CR. I mean, it would be wonderful if we actually get an appropriations bill in April. But for us to say, oh, well, that's – if we don't get an appropriations bill then things aren't going to move forward. I think everyone in the industry, certainly on the customer side, it's true, has found – established a process to operate under a CR and get business done. I think one time in the last 10 years we actually had a defense appropriations bill. So let's not wring our hands going into April going, oh, this is – we won't know what to do. Frankly, this is what we have been doing consistently for a long time. It would be great to get an appropriations bill. I think it's better for our customers. There's more clarity in the system. But we're all certainly prepared to deal appropriately with a CR.
Operator: Thank you. The next question is from the line of Noah Poponak, Goldman Sachs. Please proceed with your questions.
Noah Poponak - Goldman Sachs & Co.: Hi, good morning, everyone.
Roger A. Krone - Leidos Holdings, Inc.: Hi, Noah.
James C. Reagan - Leidos Holdings, Inc.: Hi, Noah. Good to hear from you.
Noah Poponak - Goldman Sachs & Co.: Yeah, you too. Thanks. Jim, are you saying IS&GS revenue will be up in 2017 or are you saying that it will at some point later in the year on a quarterly basis reach a positive growth rate?
James C. Reagan - Leidos Holdings, Inc.: I think that what we are seeing right now is that it will reach a positive growth rate during the year. It is possible that it will – one scenario that we've got is that it will be up on a full-year basis. But right now, it is kind of – it's part of the range of scenarios, Noah. We're liking what we see. The one thing that I probably should note that I meant to mention during my response to Amit's question is that the more and more we see the benefits of the integration of these businesses, we have them operationally together today, it's going to be a little more difficult for us to calculate growth rate on the legacy IS&GS business because we are making choices on where to bid new work between legacy Leidos and legacy IS&GS based on capabilities, cost structure, competitive rate structure, etcetera. And so, we can give you some flavor on that in the short run, but it's going to be a little bit cloudier later in the year and certainly into next year. And as a reminder, we're going to come up with a new segmentation in our Q1 call that we'll be describing during that call and that will actually be a segment structure that's based on how we are running the business starting this year.
Operator: Thank you. Our next question is from the line of Ian Zaffino with Oppenheimer. Please proceed with your question.
Mark Zhang - Oppenheimer & Co., Inc. (Broker): Hi, good morning guys, this is Mark Zhang on for Ian. Thanks for taking my question. So I just wanted to I guess like quickly see if there is any additional insights that you can provide now on NSS's domestic operation side going to 2017 given that international is very strong. I was just wondering like if there was any signs of a rebound or turnaround on the domestic side. Thank you.
James C. Reagan - Leidos Holdings, Inc.: I think that on the domestic side, Mark, we don't view it as being a situation where it's turning around. And in fact we are seeing consistent strength in the bid pipeline, the win rate that is consistent with kind of how the budget and outlays are looking out of our customer set. So we are viewing that as being a business that will grow at or hopefully with a more competitive cost structure going beyond 2017 better than the budget growth rate.
Operator: Thank you. Our next question is coming from the line of Tobey Summer with SunTrust. Please proceed with your question.
Kwan Hong Kim - SunTrust Robinson Humphrey, Inc.: Hi, this is Kwan Kim on for Tobey. Thank you for taking my question. I was wondering if you could talk about prospects for new projects in the public healthcare business under the new administration, particularly in the VA's effort in trying to modernize their system? Thank you.
Roger A. Krone - Leidos Holdings, Inc.: Well, once again, we are kind of waiting and seeing. We are thrilled that Shulkin was unanimously approved as the VA administrator, which – and I didn't check any records, but it may be unprecedented that someone has been unanimously approved. And we obviously knew him from before all the way back to DHA. And he walks into the VA with clearly some mandates and some things he has to get done. How VA provides healthcare is – by the way, they provide some of the best healthcare in the world. And they work on an old HER/EMR system called AltaVista which runs on an old database system called MUMPS. And I think the issues at VA are not uniquely around the EMR/EHR but really have to do with their IT backbone writ large, which includes scheduling and it includes a sort of an ERP view, electronic health records is part of that. And Shulkin did mention – we have a program that came over as part as IS&GS which has to do with scheduling in the VA and Shulkin did address that in his confirmation hearing, that he was going to put some energy behind that program. And we have seen a small task order get funded really just since the beginning of the year. But it's small numbers. Let me speak in a bigger generality. I think that we will see emphasis in VA, that the government will spend more money to take care of our veterans, as I think we all believe they should. I think Shulkin will try to drive efficiencies into the VA system and that probably is good for us and good for other contractors like us that have a strong services support position to the agency.
Operator: Thank you. Our next question is from the line of Brian Ruttenbur with Drexel Hamilton. Please proceed with your question.
Brian Ruttenbur - Drexel Hamilton LLC: Yes. Thank you very much for taking my call. A couple quick ones. D&A on the year that's included in your guidance, what is that level? And that's just an easy housekeeping if you can give me that.
James C. Reagan - Leidos Holdings, Inc.: Let's see, depreciation for the full year I believe is going to be about $45 million.
Brian Ruttenbur - Drexel Hamilton LLC: And amortization?
James C. Reagan - Leidos Holdings, Inc.: Yeah, and then the amortization relative to the deal for the full year about $272 million.
Brian Ruttenbur - Drexel Hamilton LLC: Okay. And then percentage of your contracts up for re-compete in 2017 as a combined company now.
James C. Reagan - Leidos Holdings, Inc.: About 20%.
Brian Ruttenbur - Drexel Hamilton LLC: Okay. Is that abnormally high or is that a normal number?
James C. Reagan - Leidos Holdings, Inc.: That's about a normal number. And it makes sense when you think about our average contract length being roughly five years.
Brian Ruttenbur - Drexel Hamilton LLC: Okay. And then the goal for debt, your leverage ratio is 3.5% now, by year end you are wanting to get it to, fill in the blank.
James C. Reagan - Leidos Holdings, Inc.: We are looking at something close to 3 – about 3.0%. And as we said before, we're really pleased with the velocity that we're delevering. We weren't planning on making the level of debt pay down in the back end of 2016 that we did. And that's partly because we are able to squeeze some more cash out of the balance sheet, but also because the business is performing really well. And with the restructuring of the debt, as I mentioned earlier, it gives us an opportunity to reevaluate ways to reduce our cost of capital.
Operator: Thank you. Our next question comes from line of Rick Eskelsen with Wells Fargo. Please proceed with your question.
Rick M. Eskelsen - Wells Fargo Securities LLC: Good morning. Thank you for taking my question. The question is, Jim, you have mentioned it a couple times about improved win rates in stuff that you're bidding for. I'm wondering if you could give a little more detail on what you are expecting, maybe if there is anything initially that you've seen, early success signs, where do you think win rates can go with the combined company?
James C. Reagan - Leidos Holdings, Inc.: Yeah. We don't talk in detail about win rates because it's really hard for you to glean anything meaningful out of them as a single data point. What I will tell you though is that just in the backend of the year we've seen some very positive signs in win rates for new work, which has historically been some of the toughest places to have win rates that are up in the 30% to 40% range. The other thing is takeaways. One of the things that we're looking at increasingly are opportunities to take work away from our competitors that wouldn't be possible without the improvement that we've got to our cost structure and our bid structure. So, the improvement that we've seen just in 2016, the backend of 2016 on the win rate on takeaways has been very encouraging. And so, as we start to see those through the $28 billion that we've got in evaluation today, as well as the things that we're going to be submitting, we're feeling pretty good about it.
Rick M. Eskelsen - Wells Fargo Securities LLC: Thank you.
Operator: Thank you. The next question is from the line of Jon Raviv with Citigroup. Please go ahead with your question.
Jonathan Raviv - Citigroup Global Markets, Inc.: Hey, thanks for taking the follow-up. On the cash deployment discussion you had during your prepared remarks, is there any order to those cash deploying priorities we should be thinking about, under what circumstance might you return to repo or M&A and how do you weigh those two against each other?
James C. Reagan - Leidos Holdings, Inc.: Well, I think that in the past we've talked about them as though there is an order and that was very deliberate. I think that now that we've got our debt down to a blended rate of about 4% and we're making very strong progress toward getting down to 3.0%, there is certainly some opportunity for us to set our sights on any other accretive transactions that would be either M&A or stock buyback at the right time. And so, we're already starting to map out a strategy that could involve any of those. And for the right thing we would not be completely closed to doing something material before we're down at a 3.0% level. It just depends on what it is and where that opportunity is on the accretion horizon.
Operator: Thank you. Our final question this morning is from the line of Noah Poponak with Goldman Sachs. Please go ahead with your question.
Noah Poponak - Goldman Sachs & Co.: Jim, when you were discussing earlier DHMSM and UK MoD as having been growth drivers last year and as a result coming up against some tougher year-over-year comparisons, were you saying you expect those programs to decline year-over-year in 2017? I couldn't quite tell if that is where you were going with that.
James C. Reagan - Leidos Holdings, Inc.: No, just to be clear, those are flattening out. Those had been a big – they had been great growth drivers. We're looking for those to flatten, as I said, and then for the growth to be coming from the existing – or the pipeline of opportunities that I just spoke about.
Roger A. Krone - Leidos Holdings, Inc.: Yes, I think the point there was a year ago we – on a quarter-to-quarter basis, now we're looking a year back where we had a full quarter of those programs. And so year-over-year we're not seeing the growth that we would have seen a year ago under those two programs, but they're both still very strong programs and doing quite well.
James C. Reagan - Leidos Holdings, Inc.: And don't forget that – remember, we do have the heavy construction business that we divested in 2016 that contributed roughly $100 million worth of revenue.
Roger A. Krone - Leidos Holdings, Inc.: Which will be out of 2017.
James C. Reagan - Leidos Holdings, Inc.: Which will be out of 2017.
Operator: Thank you. At this time I will turn the floor back to Kelly Hernandez for closing remarks.
Kelly P. Hernandez - Leidos Holdings, Inc.: Thanks, Rob, and thank you all for joining us on the call this morning. We look forward to sharing more updates with you on our Q1 call. Thanks.